Operator: Good morning and welcome to the Cedar Shopping Centers Incorporated second quarter 2010 earnings conference call. At this time, all participants have been placed in a listen-only mode and the floor will be open for your questions following the presentation. It’s now my pleasure to turn the floor over to your host, Brad Cohen with ICR.
Brad Cohen: Thank you very much, operator. Good morning. At this time, management would like me to inform you that certain statements made during this conference call, which are not historical facts may be deemed forward-looking statements within the meaning of Section 27A of the Securities Exchange Act of 1933 and Section 21E of the Securities Exchange Act of 1934 as amended by the Private Securities Litigation Reform Act of 1995. Although the company believes that expectations reflecting any forward-looking statements are based upon reasonable assumptions, they are subject to various risks and uncertainties. The company can provide no assurance of expectations will be achieved and actual results may differ. Many of the factors and risks that could cause actual results to differ materially from expectations are detailed in the company’s press release and that release was put out yesterday and from time-to-time in the company’s filings with the Securities and Exchange Commission. In the end, the company undertakes no obligation to revise or update any forward-looking statements reflected in or circumstances after the date of the company’s release. It is now my pleasure to turn the call over to Mr. Leo Ullman, Chairman, Chief Executive Officer and President. Leo?
Leo Ullman: Thank you very much, Brad. It may that your disclaimer will be longer than the prepared comments today. Good morning everyone and thank you very much for joining us today on the Cedar Shopping Centers earnings conference call for the second quarter 2010 results. With me on the call today is Larry Kreider, our Chief Financial Officer. Other members of our team, including Tom Richey, President of our Development and Construction Division; Brenda Walker, our Chief Operating Officer; and Nancy Mozzachio, our Vice President of Leasing are also on the call and available to you. Cedar’s story for the second quarter is that we continued to execute on our business plan, focusing on leasing, continuing to deleverage our balance sheet and maintaining our strong occupancy levels. As to deleveraging and Larry will provide additional details, note that the draws under our principal credit facility are down to $59 million from $276 million in April 2009. We have more $100 million of availability and our debt represents 60% of our total capital at a time today when our stock is trading in our view at a low multiple versus a level of debt to total market capitalization of nearly 90% in March 2009. Both our revenues and NOI continued to grow and our occupancy at a level of 90% remained undiminished with noteworthy continued strength for our stabilized properties. As for leasing and kudos around (ph) to Nancy Mozzachio and her leasing team for turning in another strong performance, we yet again showed remarkable increases in renewal rents and rents for new leases on vacated premises. We have also improved a number of internal operating factors during the quarter. We are establishing an enterprise risk management function that will identify and evaluate the impact and likelihood of risks to our business, which should enhance our ability to deal with any such risks. We are in the process of expanding our offices and installing more efficient communication systems. While there are costs associated with such improvements, the investment is important in terms of effectively managing our growth. We have considerably enhanced our construction and development accounting systems to integrate them with our other property accounting systems. We have continued to enhance our joint venture accounting and reporting and we have made considerable progress toward a (inaudible) office while further expanding our data room capacities. These initiatives primarily under Brenda Walker’s and Joel I. Yarmak’s supervision, are also important investments in the effectiveness and efficiency of our current and future operations. With respect to our portfolio, we are continuing our program of recycling capital. To that end, we are negotiating arrangements for some further dispositions of Discount Drug Mart anchored properties in Ohio. Our development under Tom Richey’s guidance while ramped down considerably from prior years, are evolving and we are seeing a number of new opportunities for smaller grocery anchored ground up developments with nice profit possibilities. Specifically we are making progress on the ground up development in Kutztown with a signed giant foods stores lease and preliminary site plan approvals. Also we received additional approvals for our (inaudible) property. Lease up of our cross roads two and up in squares properties is ongoing reaching more than 75% and 89% respectively. We will acquire land and a building presently leased to the U.S. government adjacent to our existing land and building, also leased to the U.S. government, on U.S. route 1, which is Roosevelt Boulevard in Northeast Philadelphia PA. The properties together represent a potential development site of approximately 40 acres. With respect to the shore mall, we are continuing our efforts in conjunction with local governmental units for funding of certain offsite road access and signalization improvements to facilitate future redevelopment, demalling of that property. Importantly, we have been extremely active in the acquisition area. Mike Winters, Frank Ullam and our analysts have been working hard on many opportunities which have been made available to us. While we have not yet closed on a number of pending transactions, we have worked our way through due diligence and contract negotiations for a number of properties and we expect to be able to announce some attractive acquisition primarily in the RioCan joint venture mode during coming months. With that I would like to turn the call over to Larry Kreider to walk us through some of the financial data. Thereafter we would, as always welcome your thoughts and comments. Larry?
Larry Kreider: Thank you, Leo. For further details of our financial results for the quarter ended June 30, 2010, I refer you to our press release issued last night as well as our supplemental financial information published on our website and also available at www.sec.gov. Our results in the second quarter feature a continuation of the solid strides we have made in securing our capital structure and maintaining steady operating results. Our operating results remain consistent with the prior quarter and reflect stable operating performance as compared to the first quarter of 2010 and the effects of the capital raising activities we have undertaken, primarily our transfer of properties into the RioCan joint venture and our issuances of common stock. As is documented in our supplemental financial information document on page 9, revenues and net operating income including all of our managed properties, but excluding non-cash items was consistent with the prior quarter as overall occupancy remained 90%, core renewal leasing rates increased over 7% , new lease rates exceeded terminated lease rates, bad debt expense remained about 2% as reported and finally, expense reimbursements remained at the 70% plus level. Revenue on NOI as reported decreased primarily due to the transfer of seven properties to the RioCan joint venture, two in December 2009, two in February 2010, two in April 2010 and one final property in May 2010. All operating results of these properties after transfer are reflected in equity and income of unconsolidated joint ventures. Same property results before non-cash items for the second quarter 2010 declined by $1.1 million from the comparable quarter of last year primarily due to, as reported in the first quarter of 2010, retenanting expenses at two properties, the Brickyard and Oakhurst that will be undergoing redevelopment and an increase in bad debt expense at a couple of our properties in our Ohio portfolio, which we are subsequently favorably settled. G&A levels have been and continue to be approximately $2.5 million to $2.7 million per quarter. G&A expenses as reported in the second quarter of 2010 include an expense reduction of approximately $600,000 from the G&A portion of non-cash stock based compensation mark to market adjustments as compared to additional expense of $287,000 and $400,000 in the first quarter of 2010 and the second quarter of 2009 respectively. Additionally, the first quarter of 2010 included a $750,000 benefit from the collection of a lawsuit award. Interest expense improved by approximately $1.1 million in the second quarter of 2010 as compared to the first quarter of 2010 reflecting the benefit of the debt reductions we have made from the cash received from the transfer of properties to the RioCan joint venture through May 2010. The sale of common stock to RioCan in October 2009 and April 2010 through exercise of their warrant and the public sale of common stock in February 2010. The impairment costs incurred in the second quarter of 2010 relate primarily to the discontinuance of the relatively small Long Reach village property in Columbia, Maryland and to a lesser extent for the additional cost from the contribution of properties to the RioCan joint venture. Net cash provided by operations was $13.1 million in the second quarter of 2010 as compared to $3.7 million in the first quarter of 2010. Our financial position continues to benefit as I mentioned earlier from the capital raising and financial activities completed through the second quarter of 2010 including the RioCan common stock sale and joint venture arrangements, beginning October 2009, RioCan’s exercise of warrants in April 2010, the public sale of common stock in the first quarter of 2010, incremental sales of common stock under our SEPA program and sales of peripheral properties in our drug store anchored group primarily in Ohio. At the end of the second quarter, we had a debt to market capitalization ratio of less than 61% down from over 78% at June 30, 2009, a ratio of debt to EBITDA of 8.7 times down from 9.7 times at June 30, 2009 and $82 million outstanding under our $285 million stabilized line of credit down from $249 million at June 30, 2009. As of this date, we have $59 million borrowed under this line of credit and $100 million of immediate cash availability under its terms. As we said in our press release, we reiterate our annual guidance of $0.60 to $0.70 per share. This excludes stock-based compensation mark to market effects for which we incurred a benefit of $900,000 cumulatively in the second quarter and impairment and transaction cost for which we incurred a $3.6 million charge in the second quarter. I would now like to turn the call back to Leo for Q&A and closing remarks.
Leo Ullman: Thank you Larry. Operator, we are game (ph) and able to accept calls. Thank you.
Operator: (Operator Instructions) We’ll take our first question from Todd Thomas with KeyBanc Capital Markets.
Todd Thomas – KeyBanc Capital Markets: Hi good morning, I’m on with Jordan Sadler as well. Can you talk about the acquisition environment and what we might expect in the back half of the year in terms of volume and pricing?
Larry Kreider: Well, I think for the type of what we would call A-A minus properties that we are looking at in the context of the Cedar RioCan joint venture, we are looking basically at cap rates ranging from let’s say 7.5% to 8% for those kind of very highly occupied primarily supermarket anchored shopping centers again focusing in our geographic Northeast quadrant of the US. The products that we have seen have been very high quality. We have seen much greater volume and velocity of deal making. A lot of bidding, a lot of money available for these very kind of properties and what is driving I think the aggressive bidding is the atmosphere of very attractive debt at the moment available to public as well as private companies and with rates for five to ten year debt at the 5% level, it will drive these yields to 10% or better if we’re buying at these kind of cap rates.
Todd Thomas – KeyBanc Capital Markets: Okay. In terms of some of the new ground up development projects that you’re looking at what are your return hurdles for those projects and do you anticipate having any new starts announced this year?
Larry Kreider: We are working on some smaller properties as I mentioned primarily supermarket anchored. We would be looking for an 11% going in yield on cost. We are looking at small properties near Philly and in the Northeast part of Pennsylvania as we speak. Those have to be driven by the rents from the supermarkets for our kind of product but that will be a much smaller segment of our activities and I don’t expect them to be started in the sense of being out of the ground this year but we are looking for some openings in 11 and 12.
Todd Thomas – KeyBanc Capital Markets: Okay and then just lastly, can you just talk about what your leasing pipeline looks like today in your wholly owned portfolio, so excluding any lease open development properties?
Larry Kreider: Okay. I think I’d like to have Nancy Mozzachio answer that. We seem to be doing very well on leasing and Nancy may be able to explain that.
Nancy Mozzachio: Sure. Good morning Todd. Today’s numbers looking forward through the end of 2010, we see at least a 100 basis point gain in our wholly owned properties. We have a significant amount of activity that’s taking place and I would say two to three of our largest vacancies and those are tenants that occupied 60,000 square feet or more. We have major deals that are in place either at lease or close to at lease through which we anticipate taking possession sometime in late 2010. So we are pleased with the progress that we’re seeing in our pipeline. Multiple deals, I would say small tenant, medium tenant, medium boxes and again, the three larger tenants that I just mentioned.
Jordan Sadler – KeyBanc Capital Markets: Nancy, it’s Jordan Sadler with Todd. Has the sort of tenure of tenant attitude changed in the last 30 to 60 days at all given sort of the change in the macro level data?
Nancy Mozzachio: Interestingly enough we haven’t seen or heard any changes in the programs that tenants are planning to put into place this year despite the news that’s taken place in the last month or so. We recently attended a conference in Boston and spoke to many tenants from calls down to some of the smaller tenants and none of them represented to us that they intend to slow down, delay, change their programmatic expansion plan that are in place.
Jordan Sadler – KeyBanc Capital Markets: Are you seeing any pickup from the smaller business folks, the inline shops?
Nancy Mozzachio: Surprisingly, some of the tenants that we’ve been doing business that are described as small tenants are tenants such as subway who just have a tremendous model in place. They are very strong franchises. They’re a very strong operator. They have a good presence and we have seen many deals from subway come in to our portfolio. So you have very strong corporate and franchise operation and then you have smaller people who essentially are cash-rich at this point and are taking advantage of the opportunities that may be out there. So we’re sort of running again with what we’re seeing in activity levels. Nonetheless, I mean we are still seeing activity levels with tenants, I would say, under 5,000 square feet. In our last report for quarter, I think, would represent that. Of the 19 transactions, we had several other small tenants, national and local tenants.
Operator: Our next question comes from Stephen Swett with Morgan Keegan.
Stephen Swett – Morgan Keegan: Just a little bit more color perhaps on the acquisition environment. I know earlier in the year, you were a little bit frustrated I think with cap rates continue to come down. But it sounds like maybe they’ve steadied or stabilized in that 7.5%, 8% range. Is that a cap rate that is available or at least a potential in a lot of your markets or are you having to look into some smaller tertiary markets to find that kind of cap rate?
Leo Ullman: Well, I think once you get into the major cities, it’s a different environment. And we are playing very much in the cities other than Philly. I wouldn’t characterize them as smaller markets. We have suburban focus in the areas around Boston, New York, Washington, Philadelphia and those markets are the kind of 7.5% to 8% that I’m talking about with a grosser (ph). If it’s Super Credit, if it’s a Wal-Mart or one of the clubs, it’s going to be more aggressive cap rate but for our kind of properties coupled with some medium to larger boxes here and there, I think these are the cap rates that are holding. And I think it’s a function of stabilization of the dead as I mentioned earlier with a certain margin that people can afford. The problem is in that in competing with some of the private folks who are able to lever up much more. You’re seeing some very aggressive bidding from the non-public folks whereas the public constraint of 50% debt perception or maybe a little bit higher than that will reduce the leverage to some extent – leverage yield to some extent. So I think it’s holding pretty much at these numbers, maybe getting a little bit more aggressive. We hear a lot of folklore about some very aggressive cap rates on a couple of transactions that are pending on Long Island, for example. But in general, for the areas outside the cities and outside the very highly densely populated areas, we think it’s holding.
Stephen Swett – Morgan Keegan: And then, in the development opportunities, you mentioned the smaller projects, is there any speculative component or those projects largely released before construction start?
Leo Ullman: Well, our typical model, as we have mentioned often, is that we try not to take down the property until we have assigned lease with the grocer. That remains our mantra. We have departed from that slightly with respect to this development opportunity in Northeast Philadelphia on Route 1 just because it’s an outstanding and we’ve been on it. And we came on it early in a joint venture mode with an existing owner. But other than that, we are sticking generally to our model of not taking down the property unless we have that signed lease for the tenant, usually a grocer. We do have a couple of smaller development parcels that we have acquired in the past contemplating development and we are recycling those as we speak. We have a property which we call Berg Strasson (ph) near Lancaster, Pennsylvania. We are in contract to sell that property at basically a little bit more than we paid for it. We have a small property also in Lancaster which we acquired, I’d say, a couple of years ago at this time. And we’re basically splitting that up into three parts which are being sold at a nice gain as we speak. Those were some properties we acquired with the idea of developing into small units. But we’re selling off the underlying land and we wouldn’t do that again.
Stephen Swett – Morgan Keegan: And last question with perhaps some increasing opportunities on the investment side, any potential that you’ll look to speed up the disposition process with the Ohio Properties?
Leo Ullman: Well, the only thing that’s in the works that we are very far along on at this point is the potential disposition of for properties in the package. We are working on selling one off separately. But those four would be essentially swapped for another property. But we are continuing that. But we are, at a level there, we’re down to ten or fewer properties and they are pretty stable and the discount drug mark operations seem to be continuing at a very strong level. So while we’ve had some history during the past of some vacancies in the ancillary retail on the Ohio Properties, they are pretty stable at this point and the DDMs are operating very effectively.
Operator: Our next question comes from RJ Milligan with Raymond James.
RJ Milligan – Raymond James: Leo, I’m sorry if I missed this, are you guys still on target for the flat same store cash NOI growth for the year?
Leo Ullman: I’ll leave that to Larry for the moment.
Larry Kreider: Yes, I mean, I think we’re running very consistently with respect to our cash NOI.
RJ Milligan – Raymond James: So I mean, after the first two quarters of this year, it would imply some pretty strong numbers coming out of Q3 and Q4. I think some of your peers have put out some pretty cautious guidance for the rest of the year. What’s driving that optimism?
Leo Ullman: Well, I don’t that we’re showing or expecting a big increase for the rest of the year. We’re looking to have pretty stable operations for the remainder of the year. Typically, also in the fourth quarter of the year, we have a little bump in our percentage rent, for example. We expect some modest lease up in our development projects, those ground up developments that are presently around 70% or so. And other than that, that would be all we can speak to at this point.
RJ Milligan – Raymond James: And just, you guys have done a really good job of deleveraging over the past year. Has you thought on the appropriate leverage level changed over the past quarter as we see more lenders come into the market and keep our money available?
Leo Ullman: It hasn’t changed fundamentally. We had planned always to be at approximately 60% and we’ve reached that. We would be very happy to drive it down a little bit more but we feel very comfortable at this level. Correspondingly, what we are doing programmatically is taking advantage of rates that are now available to us and we are putting a lot of effort into fixed rate financings for previously floating rate properties or parts of our collateral pool. And we will continue to do that. With respect to future acquisitions, and especially in the RioCan mode, we contemplate financing at 50% to 60% on those properties with fixed rate debt, some at five years and perhaps here and there, 10 years.
RJ Milligan – Raymond James: Great, thank you guys.
Operator: And we’ll take our next question from Mark Lutenski with BMO Capital Markets.
Mark Lutenski – BMO Capital Markets: Just touch on the acquisitions again. You guys have significant remaining capacity and you accessed JV with RioCan. I was wondering, are you, you’re talking about volume a little bit in your introductory comments. Are you guys looking to continue to sort of making one off or is there a potential for portfolio acquisition? And also, I was wondering if you could characterize the nature of some of the sellers?
Leo Ullman: Okay, the nature of the sellers is tough. In terms of the characterization of what we’re doing, we’re really doing both. We are working on a couple of portfolios in the, let’s say, four to eight property kind of range and we feel pretty good about being able to pull those across the line. We continue on one off basis. We are working on three. And the profile continues to be primarily supermarket-anchored with maybe a little more credit worthy mid-size box participation than we have had historically, geographically, still staying within our focus. There’s still a lot to do. And the sellers are everything from public companies that are selling portions of their properties to realign their portfolios or for them to recycle internally their funding and a lot of private guys who now realize the opportunity to sell at an attractive price. A lot of estate planning goes into it and this year, there may not be any estate taxes. Maybe that has figured into it a little bit but we do see a lot of opportunities both public and private and both portfolio and one offs.
Operator: (Operator Instructions) And we’ll take our final question from Lindsey Scroll (ph) with Bank of America Merrill Lynch.
Lindsey Scroll (ph) – Bank of America Merrill Lynch: Leo, where do you think we stand in terms of pricing power? Has the pendulum begun to swing back towards the landlord or where do we stand in that?
Leo Ullman: Well, there has been some folklore and it was mentioned on Dave Henry’s Kimco call that there is a thought that with the lack of development and construction during recent times that there may not be availability of product for tenants going forward, and therefore that landlords would have greater pricing power right now, we haven’t really seen that. It’s still very largely a tenant’s world out there especially when you’re talking the larger box categories where the tenants of course willed considerable sway. For our kind of products, it’s very hard to get into many of these markets. It’s hard to get into a Lancaster. It’s hard to get into any of the New England markets. And therefore, in those areas, I do think the landlord has sway and certainly with grocers, the landlord has some power because at least in our area, it’s very competitive among the various grocery operators in that Northeast quadrant and lower New England area. So I think it varies a little bit depending on what kind of tenant you’re talking about but I think with the policies in this world, they have a tremendous amount of cloud and the same with the Targets and the Wal-Mart’s and Home Depots and the Lowe’s and the Best Buys and then going down to the TJ Maxx concept. They have a great deal of power and our ability to influence pricing is pretty modest I would say, still.
Lindsey Scroll (ph) – Bank of America Merrill Lynch: And so then, what are your expectations for leasing spread just broadly speaking for the rest of the year?
Leo Ullman: Well, we have been continuously reporting high leasing spreads for both renewals and for new leases for vacated premises and we have been running at 7% to 9% almost every quarter for the past several quarters and we expect that to continue. As a matter of fact, in a way, it’s been increasing with respect to leasing of vacated premises and we expect that trend to continue. Renewals, you’re fairly hamstrung to some extent by the terms of the options but for new leasing spreads, we are doing very well. But we’re of course starting at a very low base.
Lindsey Scroll (ph) – Bank of America Merrill Lynch: Okay, great, thank you.
Operator: And that concludes our question and answer session. I would like to turn the call back over to Mr. Ullman for any additional and closing remarks.
Leo Ullman: Thank you very much operator and thank you very much for those persons on the call. As you will have noted, we had a relatively quiet quarter while continuing to execute on our business plan and to move our company forward. Our portfolio continues to perform very effectively and we look forward to the opportunities that we expect to be available to us during the coming quarters. Thank you all very much.
Operator: And that does conclude today’s call. Thank you all for your participation.